Operator: Good day, ladies and gentlemen and welcome to the Skyworks Solutions third quarter fiscal year 2009 earnings conference call. Today’s call is being recorded. At this time for opening remarks, I’d like to turn the conference over to Mr. Tom Schiller Investor Relations for Skyworks. Mr. Schiller, please go ahead, sir.
Tom Schiller: Thank you, operator. Good afternoon everyone and welcome to Skyworks’ third quarter fiscal 2009 conference call. Joining me are Dave Aldrich, our President and Chief Executive Officer; Don Palette, our Chief Financial Officer; and Liam Griffin, our Senior Vice President of Sales and Marketing. Liam will begin today’s call with a business overview followed by Don’s financial review and outlook. We will then open the lines for you questions. Please note that our comments today will include statements relating to future results that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance, we will discuss today, are from our non-GAAP income statement consistent with the format we’ve used in the past. Please refer to our press release within the Investor Relation’s section of our company website for a complete reconciliation to GAAP. I will now turn the call over to Dave for his comments on the quarter.
Dave Aldrich: Thanks Tom and welcome everyone. Well, despite the economic downturn, I am really very pleased to report that the Skyworks team delivered solid top and bottom-line performance in the June quarter and exceeded all of our key financial and operational targets. Throughout this difficult market, we’ve been working diligently across Skyworks to remain focused on our customers and to become a better supplier and a stronger competitor. It’s our firm belief that it’s in times like this that provide opportunities to gain share, and to improve customer relations while at the same, streamlining our operations. Today, Don, Liam and I will be providing an update on these activities and our progress. Specifically in our third fiscal quarter, we delivered revenue of 191.2 million, that’s up 11% sequentially. We expanded our gross margins to 40.5%. We improved operating income by 35% sequentially to a 15% operating margin today and we posted $0.16 of earnings per share and that’s $0.02 better than our guidance. We generated $44 million of cash flow from operations, and we exited with $308 million of cash. At a higher level, our financial performance reflects the progress we are making towards realizing our longer term goal of becoming the world’s leading supplier of analog semiconductors for mobile connectivity applications. Our strategy, I think is really quite simple and straightforward. It’s to leverage our scale and the capabilities we’ve derived from our handset business to first consolidate and take share within our targeted markets; second, to gain increased traction within our analog catalogue business; third, to open new market segments with innovative products and solutions; and fourth, to deliver superior operating margins and return on investment. So I’ll follow that format throughout this discussion today and to begin, I’d like to discuss how we’re gaining share in our targeted markets within both the high and low-end handset segments. On the high-end, growth of the smart phone category is a micro-trend today that in some ways is transforming our industry. Multimedia platforms are strategically important to us, given not only the increasing consumer demand for mobile voice for data, for video, but the related network capacity expansion needs of the service operators. This demand is fostering an industry-wide sea change and it’s really not unlike the PC revolution of the 90s. In fact the smart phone is moving from a higher end tool reserved for corporate road warriors to an increasingly a mainstream communications platform, one that is truly changing the way we live, the way we work and the way we play. This segment equally, importantly has been embraced by carriers with a highly profitable stream of data service revenue. A little further down the food chain, our OEM customers demand for extended battery life for improved data rates for multi-band and multi-mode capability and for ever smaller devices, perfectly intersects with what we at Skyworks uniquely develop and deliver. As an example at a RIM, we have begun shipping our first 3G WCDMA PA products as they prepare to launch refresh platforms and this is an existing growth vector for us and it compliments our existing strength at RIM in CDMA and GPRS and in EDGE. Likewise at Samsung and LG, we’re in the midst of an expansion as we move from supporting GPRS and EDGE handsets to multi-band wideband CDMA touch screen platforms and smart phones. Particularly, as they increasingly leverage Qualcomm, Broadcom and Infineon reference design, where we are a leading front-end module supplier and today I am very pleased to announce that we’ve recently won our very first design at HTC, a leading Taiwanese 3G smart phone producer and with the addition of HTC today, Skyworks is now uniquely supporting all leading smart phones providers. In the low-end or the emerging market segments, we’re seeing increasing strength driven by our scale and some recent market share gains. Additionally during the quarter, we acquired Axiom or completed the acquisition of Axiom Microdevices. Axiom is the world’s only volume supplier of CMOS, silicon-based power amplifiers for mobile phones, the only supplier in the world. Through this acquisition we’re complementing our existing leadership Gallium Arsenide capabilities. We’re bolstering our fundamental intellectual property portfolio and it’s allowing us to capture more share on the ultra low-end of the market, where cost often supersedes performance. We are now today, the largest provider of front-end solutions into this high-growth market segment that includes China, India, Africa, the Middle East and Eastern Europe. Further, the addition of Axiom’s product line underscores our commitment to providing our customers with the broadest, the most compressive suite of solutions on a process agnostic basis, to meet their unique platform, the unique geographic and cost base. Okay, now switching gears to the second prong of our strategy. We’re continuing traction within our Analog Catalog business. During the quarter, we introduced several high linearity ultra low noise amplifiers to service a number of demanding receiver applications, including global positioning, satellite radio, infrastructure markets as well as ISM hubs repeaters and access points. I think, it’s of note to say that we’ve, first we have captured our first design win with Ericsson’s base station business in support of Verizon’s LTE network deployments as well. At the same time, we broadened our portfolio silicon-based VCO synthesizers, and RF mixers addressing 3G and 4G infrastructure applications. We’ve recently won awards from Huawei, from Alcatel-Lucent, and Nokia-Siemens networks. Incidentally, our analog products catalog is a high margin business that now bodes nearly a thousand customers and a roster of customers is growing. Okay, continuing along, third, we are opening new market segments with innovative products and solutions. We’ve added customers in the high growth energy management area, most recently beginning production at ESCO and Neptune, who joined our roster of Itron, Badger Meter, Landis and Gyr, and Sensus, some of the first movers in deploying new and retrofitted smart water, gas and electric meters worldwide. These strategic partnerships are enabling Skyworks to develop highly customized and high performance solutions for these growing smart grid applications. In wireless networking, another targeted vertical application for us; we’ve recently captured our very first design win at Intel with their portfolio of 802.11b/g/n chipsets. Given Intel’s market leaderships we’re delighted by this initial in-road and intend to expand our engagement to encompass a wider variety of products and a wider variety of protocols. During the quarter we also ramped front-end solutions as part of Broadcom’s wireless LAN reference design and as a result, are now enabling three of the world’s top four netbook and notebook OEMs. I’m also pleased to report that Skyworks is now supporting Microsoft Xbox gaming console and controller with advanced analog components. Finally, from a new product and customer standpoint, we’ve entered the mobile video market recently with reference design wins that are going into production this quarter at ZTE and [long share] in China. Our devices support not only handsets and smart phones but also PCs, notebooks and netbooks, which have the potential to serve as converge, TV and media devices. Like the smartphone trend we outlined earlier, we believe that mobile video applications have enormous long-term growth potential. According to CISCO, 64% of the world’s mobile network traffic will be video, 64% by the year 2013 with 150% compounded growth between the years 2008 and 2013. This explosive growth is driven by mobile TV and web browsing as well as emerging applications including telemedicine, machine to machine, enhanced navigation, and interactive gaming. We are excited to be positioned very early in the mobile video market. Now lastly, the final element of our four-prong strategy, but certainly not least is to deliver superior operating margins and superior return on investment. We are in the process of creating a fairly unique business model that delivers consistent returns, more common to what you would expect from a diversified analog company, that enhanced our company. As evidenced in June, we delivered a 15% operating margin, and we are guiding to a 17% operating income performance in the current quarter. This is putting us on track to achieve our previously outlined target model earlier than expected. Given our product pipeline and the success of our fab light strategy and our leaner cost structure today, we now see a path to 20% operating margins at revenue levels significantly less than the 250 million quarterly model. This is a new paradigm quite simply we’re creating a uniquely diversified company with the scale derived from high volume applications, applied to a range of margin rich analog products and markets. As a result, we have never been better positioned to outperform our addressable markets to achieve our long term financial targets and most importantly to create shareholder value. I will now turn this over to Don for his financial review.
Donald Palette: Thanks, Dave, and thanks again for joining us, everyone. Revenue for the third fiscal quarter was 191 million, up 11% sequentially and versus our prior guidance of 5% growth from Q2’s 173 million level. Gross profit was 77.5 million increasing to 40.5% of revenue and driven by improved equipment efficiencies at all of our factories, progress on yield improvement initiatives and ongoing material cost reductions. Operating expenses were 48.9 million, of which R&D was 28.1 million and SG&A was 20.8 million, yielding 28.6 of operating income, and a 15% operating margin. Our net interest and other expense for the quarter was 900,000 of expense while taxes were 600,000. As a result, net income was 27 million, or $0.16, of diluted earnings per share, $0.02 better than our guidance and consensus estimates. Turning to the balance sheet, we exited the quarter with cash and cash equivalents of $308 million, a $40 million sequential improvement in our cash balance even after the cash acquisition of Axiom. Of note, we generated 44 million in cash flow from operations, recorded 11 million of depreciation and invested 6 million in capital expenditures. At a higher level, we continue to strengthen our balance sheet, focusing on translating improving business performance into a higher cash balance. We generated 140 million of cash flow from operations on a fiscal year-to-date basis. This balance sheet strength is increasingly a key competitive advantage as customers and suppliers alike seek to align with financially well-positioned partners who can support their long-term roadmaps. Now, to our business outlook for the fourth fiscal quarter of 2009. Although, we remain cautious on the macro-economy, our expanding product, market and customer footprints are positioning us well for a strong second half of calendar 2009. Specifically, we expect revenue for the September quarter to up 10% sequentially. Operationally, we expect gross margin to expand to between 40.5% and 41%, and project operating expenses of approximately 50 million, yielding a 17% operating margin. Below the line, we anticipate 1 million in expense for net interest and other expenses and taxes at our 3% cash rate driving $0.19 of non-GAAP diluted earnings per share off of a base of 175 million shares. As a reminder, we had previously outlined that at $250 million in quarterly revenue we were targeting an 18% to 20% operating margin. Given continued growth in higher contribution margin products, operational plans in place including our six-inch wafer conversion in Newbury Park and leaner cost structure. Today I am pleased to announce that our business model has the leverage to achieve a 20% operating margin at $240 million in quarterly revenue. At this near term revenue milestone, our performance translates into EPS approaching $1 per share on an annualized basis. Well, that concludes our prepared remarks and Operator, let’s open the lines up for questions.
Operator: (Operator Instructions) Your first question comes from George Iwanyc - Oppenheimer.
George Iwanyc - Oppenheimer: Don, can you give us what the split is between the linear business and the handset business? Dave, I suspect a lot of the new application areas that you’re looking at for growth is coming in linear side. Can you give us an idea on top of energy what others applications might be coming and the timing involved?
Donald Palette: Sure, George. I will jump in quick. The split between linear and our handsets space was similar past quarter. Linear was in the 20 to 25% range and handsets in the 75 to 80% range.
Dave Aldrich: Sure, George, and I think we talked about energy management. We talked about mobile video. You probably heard a lot about that recently today. We have products, for example, that are going in high volume or ramping into high volume that would be actually facilitating an analog TV signal in certain markets that’s important. We’re also seeing lot of these new VCO synthesizers and a high level silicon products going into 3 and 4G cellular infrastructure and back haul. We’ve talked about our catalog business. We continue to expand and add new product families and low noise amplifiers, VCOs and receiver components. We talked about wireless LAN. We are pretty excited about the fact we can now talk about Intel as a volume customer. That’s just beginning, just at the very at its infancy. With our ongoing relationship with Broadcom, we’re now in, as of I think this quarter and next three of the four, largest laptop manufacturers in the world. That’s a pretty big change from where we were six months ago. So I guess those would be some of the top ones that come to mind, George.
George Iwanyc – Oppenheimer: Following up on that, when you look at those applications ramping and the operating margin targeted 20% at 240 million, is the linear and handset mix staying in the same range? Is the long-term gross margin target still around 42%?
Dave Aldrich: Well, the short-term like I have to say now, the more immediate target that Don has defined as 20% operating income, we don’t view that as a long-term model any longer. That occurs in about 240 million in revenue and our growth rate, we think we can begin to see that. I think longer term, we’re really looking at a very different model I discussed in the prepared comments as paradigm shift. I am convinced that as we began to ramp more of these catalog products and penetrate more of these vertical markets and participant in the sweet spot of the cellular business, smart phones, for example, that we’re going to start to create a financial model from a return on invested capital that’s materially above our cost of capital and operating income that looks a lot more like an analog company. So when we talk about 20 points, I have to say, we’re not talking about longer term model. We’re kind of refining that as we go forward here, but we’re getting pretty excited about what a diversified Skyworks looks like. It looks nothing like a cellular handset component company.
Donald Palette: George, just in the short-term, the 240, Dave described, we don’t assume any change in only a product handset mix. We do not assume any change in that.
Operator: Your next question comes from Suji De Silva - Kaufman Brothers.
Suji De Silva - Kaufman Brothers: On the Intel win, can you guys give us a sense of what you think your share can go to there in the wireless LAN there?
Liam Griffin: Well, I saw Dave pointed out this is really a milestone win for Skyworks to break into this strategic account. Its early innings for us right now. We’re delivering a control IC that was developed by our advanced analog design team, and we really feel that with Intel’s view on wireless you see a lot more work. Now even cellular, in addition to the Wi-LAN, WiMAX, this could become a very meaningful growth element for us over the next few years. So, it’s very early today. We’re existed about the design win, but there is plenty of blue sky for us here.
Suji De Silva - Kaufman Brothers: Maybe on energy management, you guys talk about that potentially becoming a significant part of revenue, how is that tracking towards your expectations and maybe what percent of overall revenue is it now?
Liam Griffin: Well, it’s tracking quite well. We continue to add new customers and I think that’s the controllable factor for us. We have moved up just Itron, we have added ESCO and Sensus and Neptune, Landis and Gyr in Europe. So the customer portfolio is looking very good. The business is growing, it’s steady and I think a progressive rate of growth, there is a lot of stimulus behind it, there are some real macro tailwinds behind this. It is still relatively small in terms of mixed forces, less than 10% of revenues, but we think compound growth rates on this will be among the best across our analog portfolio over the next three to five years.
Operator: Your next question comes from Todd Koffman - Raymond James.
Todd Koffman - Raymond James: I just wanted to ask, Skyworks now has emerged as the clearly defined most profitable player amongst your peers, but this industry historically has had some trouble with maintaining that consistency. Is there anything as you look structurally at the landscape that might lead you to believe that maybe the sustainability of consistency could last a little bit longer than it has in the past?
Dave Aldrich: Well, maybe, Don and I can tiger team the question, Todd, and I appreciate your comment on our consistency or our margins. A couple of things are happening, first of all I think if you go back and look at us for now several quarters, and that since we exited the base business, which was an inherently volatile business where we didn’t have the competitive advantages to have a sustainable financial improving model. We now are focused in areas that we can use as a springboard to continue to diversify our business. So the difference today is there are far fewer players. We see fewer competitors in our targeted markets or our more mature markets if you will, and that’s because the complexity of the product is getting higher, the need for scale not only in manufacturing and R&D is becoming a higher hurdle. The hurdle rate is going higher, products are becoming multi-band, multi-mode, because simultaneous voice and data and that place too are strengthened against this single or largest component [ph] companies. We’ve seen a lot of share consolidating around the broad based suppliers and there are far fewer of them today in handsets. Our market now today, a couple of years ago, a reasonable knock against Skyworks, well you are not doing that much with Qualcomm reference design, you don’t have much at Nokia. Well today those two things are well behind us. So now we are shifting really to every major I could say every handset OEM, and every smart phone manufacturer, every major smart phone manufacturer. We also have vertical markets that we spend a lot of time dissecting and supporting customers there with innovative designs that has taken us years and we are beginning to penetrate. Those in the margins there are simply terrific compared to what you might have thought of in this industry and our Catalog business continues to expand. The difference is, we are diversified, we have a fab-like model, we invest less in capital than our growth rate would suggest we would need for other competitors perhaps. We are not a handset component company anymore, so I think over time you won’t think of us as in that way. You will think of us as a diversified company with far less volatility.
Operator: Your next question comes from Tim Luke - Barclays Capital.
Merck Lutcher - Barclays Capital : This is [Merck Lutcher] calling in for Tim Luke. Thanks for taking my question. Just two quick ones. Number one, more current on inventory in the channel, where do you see the inventory cracking going forward? Is it like towards the normal range or expected above?
Liam Griffin: Inventory appears to be stabilizing. There certainly were and continue to be some pockets of imbalance, but for the most part we believe throughout the June quarter a lot of that fully recovered to normal levels, now again, there are pockets of opportunity there. Again, as we look through the next quarter, we start to see customer demand and inventory making much more sense, and more consistent with [periods]…
Merck Lutcher - Barclays Capital : The next question is more of a longer-term. For handsets in LTE, how do you see the ASPs and margins devolving in when the industry transitions to LTE?
Liam Griffin: In LTE there is very few platforms right now that are in production, Ericsson has a few. We think that that is going to be an exciting element of the whole mobile Internet that Dave spoke of. It’s going to provide tremendous data rates consistent with a DSL and cable, albeit with a wireless connection. We also see that the LTE platforms are probably not going to be traditional handset-like devices. You may see them more in ultra mobile PCs or notebooks or even data cards. The margins should be very high and Skyworks by the way has a very strong portfolio across in LTE suite, power amplifiers, LNAs and control IC, so we look forward to that trend.
Operator: Your next question comes from Uche Orji - UBS.
Parag - UBS: This is Parag for Uche. First question, could you say who are the 10% customer, and also if you are able to sneak in LG and Nokia as a 10% customer?
Don Palette: Sure. This is Don. We had four 10% customers during the quarter. We had Samsung, Sony Ericsson, Motorola and LG and Nokia actually was in the high single digits for the quarter as well.
Parag - UBS: Secondly, you have indicated share gains. I was just wondering whether the share gains have been driven largely by share gains by your customer or you have been gaining shares at existing customers that is increasing your penetration and existing customers.
Don Palette: I will have to say in terms of OEM share shifts benefiting us, we – it’s nice to see LG as a 10% customer, Samsung continuing to gain strength. We are at the first inning of our growth in Nokia, but the flipside is that we are diversified enough within our handset business that share shifts among OEMs tend to have less of a whipsaw to our business model, and that we have been striving for that for a long time. I would say it is the growth in general is far more around penetration of the smart phone category, gaining share on the low-end category and non-handset applications then we were lucky enough to be with one OEM and not another OEM and they are winning. That’s really not our business. That was Skyworks two years ago, that’s not so much our business today.
Operator: Your next question comes from Cody Acree - Stifel Nicolaus.
Cody Acree - Stifel Nicolaus: Thanks, guys and congrats on a great quarter. You talk about being more diversified and definitely an applaud for that, but those of us who have had a history with Skyworks seeing the prior transceiver base band, the software solution business, I think the distraction maybe or at least the diversity that it took away from your power amplifier core module business. What happened when you focused back on that core power module business, the market share gains that you have seen in Nokia and some of the major OEMs? Do you spend a lot of time in your commentary talking about the increasing diversity, which has a lot of puts and takes, has a lot of positives, but does it run a risk of getting off of maybe focus?
Liam Griffin: That’s an intriguing question, Cody, and a good one. The shorter answer is no because all of the product markets we are talking about, every single one of them have some very common DNA. They are analog circuits. IC is perhaps module based, but they are all around a very narrow set of, we think very deep core strengths of the company. Our ability to design and manufacture multi-chip module technologies and different process technologies are process in difference when it comes to what’s the best process for the function within the analog domain and RF power amplifier switches, they are all within that footprint. Yes different voltages, different power levels. So we view them as being very, very similar from a core intellectual property standpoint. Where they differ and where we’ve been working very hard for the last five years now, is they differ in the kind of application support and some of the system architectural aspects of these products. That’s where we have waited very carefully into these vertical markets only after penetrating them with relatively low complexity components and then we’d sell up chain integrating with our customers, embed with our customers. So it’s quite a bit different. When you talk about baseband and software, that was a digital CMOS process. Going after customers in the software domain, competing with mega companies, many of them have their own FAB’s and a great deal of scale in digital signal processing. That was not a business that we over time thought we could add enough value to provide sustainable shareholder returns, so we did what we felt it was smart. We analyzed the portfolio. We exited. We doubled down in areas of strength. So I think it’s a good question, Cody, but I don’t think its apples-to-apples when you compare the distraction in cellular base station. Now when you talk about cellular baseband, when you talk about transceivers, transceiver was just a product market segment that customers weren’t willing to pay for. So we were quite good at transceivers. The margins in that business were not commensurate with where we want the take the business. So, while there was revenue upside to it, we didn’t see margin enhancement and therefore likewise, we exited that business.
Operator: Your next question comes from Edward Snyder - Charter Equity Research.
Edward Snyder - Charter Equity Research: A couple of questions. I know you touched on this earlier, but I want to dig in a little bit more. There has been a lot of conjecture, I guess, about Nokia and your product mix. I know year or so ago, you are hoping for a little bit higher revenue. The program that are pushed out there are specifically the Broadcom Voyager one and I know it’s in the high single digits now. What is your guidance for the end of the year? Do you think you’ll break through 10% and you’ll continue to grow? To the extent, you can’t talk about it or you are shipping to the Voyager platform at Nokia at this point. I’m just trying to get a feel. You are so small there in such a big area, and Nokia even mentioned they want to move away from more to their yen-based cost. So [Inaudible] is out and you guys will be a natural substitute for that. So I’m just trying to get for how big reasonably you think they could be this year and what the ramp would look like?
Liam Griffin: Well, as you know, Nokia is absolutely strategic to Skyworks and we have done much of the difficult work in being an approved supplier. We have a strong position in 3G and in EDGE, and we are in the two strategic EDGE-only platforms, one is a Broadcom platform and second is an Infineon platform. Nokia has absolute plans and so do we. We have to Skyworks be a significant player and a large share player. We certainly expect to get way beyond the 10% level in 2010. We also expect in 2010 to broadly expand our position and to deliver product across all segments from the low-end all the way to the highest end 3G and smart phone within Nokia.
Edward Snyder - Charter Equity Research: Today, we are in less than 10% of their phones. That’s where we entered their business on the WCDMA sector. We’ve got design wins and production ramping in some cases and EDGE. We’re moving into GPRSs. As Liam described, our goal is nothing. They have three qualified PA suppliers. That means we should get at least a third of their business and I am confident that’s exactly what we’re going to get.
Edward Snyder - Charter Equity Research: Just to refresh, you are in a hub system with Nokia?
Dave Aldrich: Yes, correct.
Operator: (Operator Instructions) Your next question comes from Steve Ferranti - Stephens Inc.
Steve Ferranti - Stephens Inc.: I think, Dave, you had touched upon consolidation in the Gallium Arsenide space a little earlier. I wanted to see if you could provide your thoughts on where we are in that consolidation, particularly with some of the, I guess, non-public players? Do you think that there is still some consolidation to go or is that a theme that’s largely played out by this point?
Dave Aldrich: I think the consolidation, the big wave of consolidation has been away from more discrete base solutions. If you think about an EDGE device, we ship today for say $2.50, it’s a quad band, and has a multi-throw switch, has some fairly sophisticated control logic integrated in that credit module. It replaced even on current reference designs frankly. It was pulled by the customers not by the reference designs, because of its small footprint, its efficiency, and its ease of integration. The same thing happened in GPRS, where in the whole adoption of front-end modules versus discrete PAs [ph]. So the big share loss occurred, folks who make a discrete filter or a discrete switch or RLCs, and so on. That just the market moved away from that and it continues to do so. The next wave of share consolidation will occur if you would crack open many multi-mode phones today, they are still pretty complicated on that transmission. There are still discrete filters, there are lots of single band wideband CDMA peppered throughout those designs, so if you have a world phone you have got five bands, it is not common to have five PAs. The next generation is going be, picture this, if you can put a multi-throw switch in your EDGE device, why not facilitate all the switching in control and handle all the logic in one chip if you will or at one solution and then began to consolidate and integrate those discrete bands in wideband CDMA. That will be the next generation of consolidation where around system, of transmit systems that will have elements of switching, element of filtering, element of control, a lot of logic and broad based linear power amplifiers. That’s what we’re working with our customers now on that will be 2011, late-2010, 2011, 2012 and that trend won’t stop.
Steve Ferranti - Stephens Inc.: You guys got a great cutover. We just wanted to touch quickly upon the six-inch transition. Maybe an update on sort of where we are there when you expect that capacity to start coming online and you know is it a flash cut, it’s a gradual transition, some sort of sense for you know how that plays out?
Don Palette: Hi Steve. This is Don. The full cutover was fully up and operational is middle of next year. We are producing wafers on that line right now so it’s a gradual cutover. During this time, and during the whole time of the project, it has had no significant impact on margin. That will continue until the cutover occurs, but it is an important part of the strategy and it’s a level that we’re going to use to continue to move margins forward as that line comes on and it’s fully utilized.
Operator: Ladies and gentlemen, this concludes today’s question-and-answer session. I’d like to turn it back to the presenters for any additional or closing remarks.
Dave Aldrich: Okay, well thank you everyone for participating in the call today and on behalf of the entire Skyworks team, we look forward to seeing you in upcoming conferences and take care.
Operator: Ladies and gentlemen, this concludes today’s conference. You may disconnect at this time.